:
Operator: Thank you. (Operator Instructions). The first question is from John Rummo of World Market Media. Please go ahead.
John Rummo – World Market Media: How are you? Congratulations on a good quarter.
Yacov Kaufman: Thank you.
John Rummo – World Market Media: So I was wondering, in your new diversification strategy for this upcoming year, if you were planning on looking at the mobile market and finding a way for your desktop software to be somehow mobile on a phone or some sort of application there.
Ofer Adler: Well, we actually started to gather information. We believe that obviously, this market has a lot of potential in a very fast world. So we are now in the process of trying to learn more about it and we definitely want to consider what we can do and where it is our core strength and whether we can operate in this market. So, the answer is yes, we are definitely starting to look into it, and are field gathering data information in order to be able to decide where exactly to point our effort into.
John Rummo – World Market Media: All right, and just one more question. Do you sense that you are going to have some sort of drop off in search revenue, should you have to look somewhere else other than Google, because obviously Google is going to be the best search engine and should you change, do you feel like there will be any drop-off?
Yacov Kaufman: Anything is possible. Because, as we said, we are lacking visibility. But it can go in either direction. There are advantages and disadvantages to each of the providers and their revenue models. There are some that are employing the rev share, others are what we call customer acquisitional bounty payments, which would increase revenues in the short term. And on the other hand, Google does have its footprint all over the world, which is very much in correlation with ours. So it is very difficult to say. That being said, as also mentioned earlier in the conversation, we have a thorough understanding that no matter what the changes be, as far as Google is concerned, they wouldn't affect us before the end of the year. So it is more or less up to us how we are going to be proactive and what we are going to do to diversify our revenues.
John Rummo – World Market Media: All right. Thanks so much. That was very, very helpful. All right, guys.
Operator: The next question is from Michael Prouting of 10K Capital. Please go ahead.
Michael Prouting – 10K Capital: Yes, good morning, guys.
Ofer Adler: Thank you.
Michael Prouting – 10K Capital: Another good quarter. I had a couple of questions. Firstly, when you say that the second quarter is going to be similar to the first quarter, you mean in absolute terms, in other words, second quarter revenue was flat with first quarter, or do you mean a similar year-over-year growth rate, or can you just clarify that?
Yacov Kaufman: Well, what we mean is that, usually, the second quarter seasonality will have a dip compared to the first quarter. Our high [ph] quarters are the fourth quarter, then the first quarter, and usually the second and third quarter are lower. So we are talking sequentially, we are expecting these to be more or less the same, and we expect more or less to overcome the seasonality.
Michael Prouting – 10K Capital: So flat top-line, similar profitability to the first quarter now?
Yacov Kaufman: Both our expectations are in the ballpark figures.
Michael Prouting – 10K Capital: Okay, that is helpful. And then, well I guess, another question everyone is struggling with I think is just how to value the company, given the uncertainty in your business model. I am wondering if there is just any guidance or thoughts you can share with us at all that would help us as analysts put some kind of valuation on the company?
Yacov Kaufman: I think one of the strongest indicators in our model is the profitability of the model, and that is, when you have a company that has a 95% gross profit margin, okay, we are well positioned to address different eventualities and different scenarios as they develop. And therefore, even if you mentioned earlier like what are we expecting with the gross revenues, should they dip? Well, we are expecting them to be able to adapt ourselves and to remain very profitable. So when you are modeling up the company, and when we say we are lacking visibility, we are sharing all the information we have with our investors, but that being said, we are still very profitable, and we intend to remain that way going forward.
Michael Prouting – 10K Capital:
Yaocv Kaufman: Well, we definitely hope that, but as we said also earlier in the conversation, there are advantages and disadvantages. Google is the market leader, so I don’t want to start deluding people and trying to say, listen, we are going to move away from Google and nothing is going to happen and everything is going to be (inaudible). That is not the case. We are trying the best and we think we have a model that is very adept at addressing the situation, so that we can remain very profitable.
Michael Prouting – 10K Capital: So another is, do you feel like you can find a way to monetize the use of this, even if you are not able to work out a satisfactory arrangement with Google going forward?
Yacov Kaufman: We are working on this alternative, as well as trying to continue working with Google. We have not taken that off the table, on the contrary.
Michael Prouting – 10K Capital: Okay. That is very helpful. Thanks.
Operator: The next question is from Kenneth Miller [ph] of Millman Capital [ph]. Please go ahead.
Kenneth Miller – Millman Capital: Hello, gentlemen. I wanted to ask a little bit about the potential effect of moving to IAC for the high-yield products. Do you have a sense yet how much of the high-yield rates you are going to move to IAC and kind of how the monetization will compare to Google?
Ofer Adler: Well, first of all, it is probably going to be – we believe that the profits will be slow. It is not that the funding will take all the traffic and move it. We believe it will take some months and about trying to estimate how it will perform, we have been working with IAC or Ask before, and we think that – we believe that the number should be around the same, from our previous experience, but since the last time we worked with them, you know, some of the market conditions, sometimes they change, but our expectation is to have roughly about the same level of monetization.
Kenneth Miller – Millman Capital: Yes, my understanding is, IAC does much of its monetization in terms of Google, is that not correct?
Ofer Adler: It is correct, yes.
Kenneth Miller – Millman Capital: So how would a potential move to IAC diversify your (inaudible) on Google?
Ofer Adler: You know, some of the things that we currently don't know and we were waiting to get more information, is if any change that the Google will make will affect companies like IAC and AOL. The right answer for us is that we still don’t know. So we try as much as we can to diversify the departments that we are working with to better our chances. But we don’t really know if and when some policy change will take place, it will affect companies like IAC or other partners of Google.
Kenneth Miller – Millman Capital: Is it possible that changes would affect a smaller company like IncrediMail more than it would affect IAC and what IAC was permitted to do?
Ofer Adler: It is possible, but we really don’t know the bottom line.
Kenneth Miller – Millman Capital: Okay, thank you very much for taking my questions.
Ofer Adler: Thank you.
Operator: (Operator Instructions). There are no further questions at this time. Before I ask Mr. Adler to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available in three hours on the company website at www.incredimail.com. Mr. Adler, would you like to make your concluding statement?
Ofer Adler : As you have seen, we continued to show growth and high profits. This remains a cornerstone of our plans for the future. We are well focused on diversifying our sources of revenue, together with growth, and hope to share with you more news regarding further developments in this direction in the next couple of months. Thank you again.
Operator: Thank you. This concludes the Incredimail first quarter 2010 conference call. You may now disconnect.